Operator: Good afternoon, and welcome to the Entravision Communications Second Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Walter Ulloa. Please go ahead.
Walter F. Ulloa: Thank you, Gary; and good afternoon, everyone. Welcome to Entravision's second quarter 2014 earnings conference call. Joining me today is Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on Form 8-K. During the second quarter, we generated strong advertising growth across our broadcasting assets while making further progress expanding our omnichannel capabilities and strengthening our ability to deliver targeted Latino audiences to our advertising partners. We are gradually transforming our organization by strategically and efficiently extending our digital footprint and related marketing solutions capabilities through internal development and opportunistic acquisitions. In turn, we have strengthened our ability to better serve advertisers who want to influence Latino consumers. We're building on our core broadcasting operations and creating a more robust multichannel platform that allows us to deliver, interact with and better measure Latino audiences. These efforts are improving our ability to open doors at major brands and increasing our revenue profile. Turning to our results. During the second quarter, our consolidated revenue was $61.8 million, up 9% compared to the second quarter of last year. We generated consolidated adjusted EBITDA growth of 11% to $22.1 million and year-over-year free cash flow growth of 63% to $16.7 million or $0.19 a share. Operating expenses were up 5% for the quarter, while earnings per share was $0.10 per share compared to $0.06 per share in the second quarter of 2013. Now moving on to our operating highlights for the quarter. Our television revenue increased 9% during the second quarter. Local television revenues increased 4% in the quarter, while national TV revenues grew 11%. We generated significant World Cup television advertising, which totaled $7.2 million in the quarter versus $4 million in the second quarter of our World Cup broadcast in 2010. We estimate that our 2014 total World Cup revenue will significantly surpass our totals of the 2010 and 2006 World Cup telecast. While we are excited about the strength of our World Cup performance, I do want to note that our core TV advertising revenue was heavily impacted by advertisers focusing their spending on the World Cup event, which resulted in reduced sales of our traditional inventory. On a core basis, excluding political revenues and retransmission fees, second quarter TV revenues increased 7% compared to last year. Core local television revenue increased 4%, while core national revenue increased 9% during the quarter. Our core TV business, as I said before, was impacted by the shift in advertising spend to the World Cup versus traditional advertising. Despite these challenges, we did outperform the broader television industry in the second quarter. The Television Advertising Bureau estimated that core television industry revenue declined 2% in the second compared to our positive 7% growth. This marks the 11th consecutive quarter we exceeded the television industry's growth projections. The automotive category continued its strong performance and was up 28% in the second quarter. We now have generated double-digit automotive advertising growth in 18 consecutive quarters. Automotive spending growth remains broad based as we generated sales growth in all 3 automotive tiers with Tier 1 being up 31%; Tier 2, plus 13%; and Tier 3, plus 87%. We also continue to see strength across our major brands. We generated growth with 8 of our top 10 automotive brands led by Nissan, Toyota, General Motors and Honda. The automotive category delivered strong growth so far in 2014, and we expect that performance to continue in the second half of the year, given the robust product cycles, strong demand, low borrowing rates as well as sponsorship commitments in July of our World Cup telecast. Turning now to other television advertising categories. During the second quarter, we experienced growth in 6 of our top 10 categories, including, as I said, automotive, up 20%; quick service restaurants, up 23%; growth convenience stores, up 21%; and media, up 12.5%. In the second quarter, we added 36 new television advertisers who invested $10,000 or more across our television properties. New clients included U.S. Chamber of Commerce, Let's Get To Work campaign in Florida, Physician's Vascular Services and Northeast Ford dealers. Turning to our ratings performance. Our Univision affiliates extended their ratings leadership position in the May 2014 Nielsen sweeps. Among adults 18 to 49, regardless of language, 6 of our Univision affiliates ranked #1 or #2 sign-on to sign-off. During our Prime Time Novela Block, Entravision Univision affiliates delivered higher ratings among adults 18 to 49 in at least 1 of the big 4 English-language television networks in 10 of our markets. In early network news, 9 of our Univision affiliates ranked #1 or #2 among adults 18 to 49, regardless of language. And 12 of our Univision affiliate local newscasts are #1 or #2 in early local news. And 10 of our local Univision affiliates are ranked #1 or #2 in late local news, again, regardless of language. Entravision television audiences for the 2014 World Cup were a huge success, delivering double-digit growth versus the 2010 World Cup. The tournament's ratings highlights among adults 18 to 49 in our media markets include Boston WUNI, up 32%; Orlando's WVEN, up 56%; Tampa's WVEA, up 12%; Washington D.C.'s WFDC, up 93%; San Diego's KBNT World Cup telecast was up 26%; Albuquerque's KLUZ was up 13%; and WUVN in Hartford, Connecticut, up 19%. In our radio division, revenues increased 8% in the second quarter. Miller Kaplan estimates the radio decline 1% in the 12 markets that we subscribed to Miller Kaplan during the second quarter. But we are pleased once again that our radio group outperformed its peers in the industry. When you exclude political, the radio division delivered plus 6% increase in revenue for the quarter. Local revenue, which represented about 66% of our total audio revenue, increased 4% for the quarter, while national revenue increased 34% of our total radio revenue in the quarter, up 16% compared to the second quarter of 2013. Entravision was exclusive Spanish-language radio broadcaster in 14 of our markets for the 2014 World Cup. Given the time zone in Brazil, where the matches took place, this year's tournament was a premier radio event. Many matches of the 2014 World Cup produced unprecedented ratings for Entravision. The 3 Mexico matches in the first round delivered among Latino adults 18 to 34 a 21 share in Los Angeles; Riverside and San Bernardino delivered a 29 share; Denver reported a 43 share; Phoenix, a 28 share; Sacramento, a 17 share; and Las Vegas showed a 12 share. The largest categories for radio World Cup revenue were alcoholic beverages, automotive services, restaurants and telecommunications. The top radio advertisers in the World Cup in order of spending were Anheuser-Busch, Ducati, Los Defensores, McDonald's and IDT Telecom. Our Entravision Solutions audio network continues to drive our core national radio advertising growth. Entravision Solutions provides advertisers with the opportunity to reach 95% of the total U.S. Latino population. The value and reach of our Spanish-language audio network continues to result in an expanded client base. During the second quarter, we had a total of 30 Entravision Solutions Network advertisers. Top network advertisers during the second quarter included Mars, Wrigley, JCPenney and O'Reilly Auto Parts. The growth of network revenue was driven by our ranked -- our top-ranked afternoon show, Erazno y La Chokolata, which saw an increase in network spending of 431% in the quarter because of the absence of Piolin and the increase in ratings and coverage, which has made this program the leading Spanish-language syndicated radio show in the country. In April, we launched a new network show, El Pajarete, giving the Entravision Solutions Network a midday option for advertisers targeting females. The program is hosted by Armida y La Flaka and is currently broadcast on 27 Entravision radio stations, including all of Entravision Tricolor stations. El Pajarete gives Entravision Solutions a perfect program to attract Latinas between the age of 18 and 49, which is a coveted demo for national retail advertisers. Entravision Solutions attracted a new first-time advertiser based on multiplatform advertising campaign using both network radio and digital along with our exclusive content for Best Western hotel. This was a first. We recorded revenue growth in 5 of our top 10 categories in the second quarter. The automotive category, which is the second-highest revenue-generating category, was up 10% for the quarter. Tier 2 was a driving force of the automotive category in the quarter with an increase of 25% over Q2 2013. Q3 was also up 7% in the quarter. In addition to the before-mentioned automotive, in order of spending, our top ad categories during the second quarter were services, travel and leisure, retail, telecom and restaurants. The telecom category increased 65% in the quarter. This increase was a result of increased spending of 227% from T-Mobile in addition to increased spending from AT&T and Verizon. Our restaurant category saw an increase of 28%. This increase was propelled by Carl's Jr., McDonald's and Denny's. Our radio properties continue to attract new advertisers. During the second quarter, we added 30 new radio advertisers, which spent more than $10,000, and which generated approximately $632,000 in advertising revenues. These new advertisers included Kia of Cerritos, zoom.com, Bill Luke Chrysler Jeep and Dodge, Mondelez International, Sentido Latino and California Air Resources Board. On April 1, we successfully launched the telecast of José FM in Los Angeles, which provides the same programming on KLYY, KLD -- KDLD and KDLE in the #1 radio market in the nation. The radio -- the initial radio ratings impact has been extremely positive. For the month of June, the new José FM delivered a #1 prime time. We define prime time in radio as Monday through Friday 6 a to 7 p, rankings for Latino adults 18 to 49 and 25 to 54. The new simulcast also delivered #1 prime time rankings for Latino men 18 to 49 and 25 to 54. Our Los Angeles cluster has implemented core business strategies designed to rapidly increase revenue through the success of José FM. This plan includes aggressive, new business development; targeting local, regional and national accounts; and the implementation of a national sales plan in coordination with Entravision Solutions and the development of a strong digital activation plan. The Entravision Los Angeles cluster outperformed the total Los Angeles radio market and our Spanish-language competitors for the quarter. Total revenue for our Los Angeles cluster was flat compared to last year. But according to Miller Kaplan, the Los Angeles market declined 4%, and our Spanish-language competitors saw 11% decrease in revenue in the quarter. The results for local and national were similar. We outperformed the market by 3 points and our competitors by 5 points on a local basis. National [indiscernible] outperformed the market and direct competitors by 15 points and 29 points, respectively. This performance was a result of growth locally and nationally from KLYY, although the largest increase for KLYY came from local agency revenue, and our strong performance was further enhanced by our World Cup broadcast in Los Angeles. For the spring 2014 radio ratings, our stations continue to be ranked among the leaders in adults 18 to 49 against all competitors, regardless of language. In the 15 Entravision markets released for spring, 18 of our radio stations are in the top 10, full week, Monday through Sunday, 6 a to 12 a. In Morning Drive, 8 of our radio stations airing El Show de Genio on José stations and 5 of our radio stations airing El Levantón on Tricolor stations are in the top 10. And our cornerstone afternoon drive program, Erazno y La Chokolata, is in the top 10 in 10 of our markets regardless of language. Now let me turn to our digital business. As I noted before, we continue to make solid progress expanding our digital audience reach and engagement online with video and audio on mobile devices and across all major social media channels. In June, we substantially enhanced our digital audience reach and advertising capabilities to the acquisition of Pulpo Media. Pulpo is a digital advertising technology platform that provides advertisers massive digital reach with highly sophisticated targetability and performance. Pulpo, ranked by comScore, is the largest Latino digital ad network in the U.S., Mexico and in many other Latin American countries. Pulpo leverages a talented team's unique digital reach, data assets and programmatic ad technology to reach online Latino consumers across all digital advertising platforms, display, video, mobile, social and at every stage of Latino acculturations, Spanish-dominant, bilingual and English-dominant, U.S.-born Latinos. We believe there is a clear strategic fit between Pulpo and Entravision. With Pulpo, we expand our digital assets, becoming the largest Latino ad network. We extend our reach with a nationwide platform and potential expansion into Mexico and Latin America. We diversify our core with high-growth digital assets. We leverage our Luminar unique Latino data models and insights and position Entravision as a leader in the data-driven Latino advertising space. We strengthen our digital team with talented management experience in digital ad technology and advertising solutions. We acquire proprietary technology in digital marketing, planning, campaign management, programmatic and realtime bidding, and we add significant digital revenue. The addition of Pulpo follows our launch of Luminar, our Big Data analytics and modeling group aimed at providing advertisers strategies for growth with actionable insights into the Latino market. We now expand our total consumer data assets by combining Luminar's massive online transactional data with Pulpo's online consumer data for greater data-driven advertising solutions. Digital has been an area of strategic investment for some time now. Given our focus on expanding our capabilities and offerings, we have a tremendous engine in our TV and radio footprint in the sizable Latino audience we attract. Our digital assets complement, enhance and expand this platform by growing our audience and improving our revenue profile. We're able to offer advertisers a much stronger and attractive value proposition. Total second quarter interactive revenue increased 16% over last year, marking our 24th straight quarter of year-over-year double-digit growth -- double-digit digital revenue growth. Our digital accounts now for almost 6% of our total local revenues. We continue to grow our digital revenues and presence through engaging content delivered across our station websites and other platforms. In the second quarter, we published more than 11,000 local news videos and stories online across our markets. We streamlined 6.8 -- we streamed 6.8 million hours of audio content during the quarter, up 4.6% on a sequential basis and up 34% on a year-over-year basis. We had 753,000 unique audio streamers during the second quarter with an average session length of approximately 20 minutes. A relaunch of Todobebe has also generated positive results. Todobebe is a digital destination that targets Latino mothers in the United States and Latin America and is a component of our omnichannel advertising solutions. We have reached over 1.2 million visits during the second quarter, a 221% increase over the first quarter. Todobebe is also building a strong community on social media with 1.2 million followers on Facebook, a 300% increase versus the first quarter of this year. We sent over 1.8 million nearly in mobile text messages during the second quarter. Mobile usage remains at an all-time high as we continue to create more content specifically for our mobile audience with sponsors that include McDonald's, Price Rite, Rosetta Stone, AT&T, Toyota, AEG, Jiffy Lube, Pizza Hut, Pizza Loca, Bud Light and others. We also continue to expand our social media engagement. We had over 1.5 million followers across our social media channels at the end of the second quarter, an increase of 200% over last year. Overall, we continue to make strong progress expanding our digital capabilities and presence and furthering our transition from a traditional broadcasting company into a globally integrated media and information technology company targeting the Latino consumer. We will continue to leverage our knowledge and presence in key Latino markets and our growing digital platform to deliver differentiated omnichannel advertising opportunities to our advertising partners. Now turning to current pacings. Entravision's total third quarter revenue is pacing flat for the quarter. In summary, we continued executing our growth strategy during the second quarter. While the strong World Cup performance impacted our core television growth, we once again outperformed the broader industry. Our radio division also continues to benefit from our Entravision Solutions platforms as well as the investments we have made in our sales force. Our transformation into a multiplatform media company has continued, and we are excited about the addition of Pulpo Media and the relaunch of Todobebe. I'll now turn the call over to Chris Young, our Chief Financial Officer, for a review of our financial information.
Christopher T. Young: Thank you, Walter; and good afternoon, everyone. As Walter has discussed, net revenue for the quarter was $61.8 million, up 9%. Operating expenses increased 5% to $35 million, and consolidated adjusted EBITDA increased 11% to $22.1 million. During the second quarter of 2014, the company declared and paid a cash dividend of $0.025 per share to shareholders of the company's Class A, Class B and Class U common stock. The total amount of cash disbursed for the dividend was $2.2 million. The company also announced today that the Board of Directors has declared a quarterly cash dividend of $0.025 per share to shareholders of the company's common stock payable on September 30, 2014. The total amount of cash to be disbursed for this quarterly dividend will be approximately $2.2 million. For the quarter, TV net revenue was up 9% to $43.2 million compared to $39.6 million in the same quarter of last year. The increase in our television segment was primarily attributable to advertising revenue from the World Cup and retransmission consent revenue. Radio net revenue for the quarter was up 8% to $18.7 million compared to $17.4 million in the same quarter of last year. The increase for radio was primarily attributable to advertising revenue from the World Cup. Retransmission consent revenue for the quarter was $6.8 million compared to $5.7 million in the same quarter of last year. Retransmission consent revenue for the year is now estimated to be approximately $26.5 million. OpEx for the quarter was $35 million, up 5%. Excluding noncash compensation expense of $0.1 million, operating expenses for the quarter were $34.9 million, up 5%. The increase was attributable to an increase in salary expense, employee benefit costs and payroll taxes associated with the increase in salary expense. Corporate expenses for the quarter were up 11% to $5.3 million compared to $4.7 million in the same quarter of last year. Excluding noncash compensation expense of $0.5 million, corporate expenses for the quarter were $4.8 million versus $3.7 million in the same quarter of last year. Primary drivers of this $1.1 million increase were as follows: $600,000 in fees associated with the acquisition of Pulpo earlier in the quarter; an increase of $225,000 in the quarter due to salary expense increase; and lastly, a $200,000 increase in digital media-related expenses. Income tax expense was $5.9 million for the quarter while cash taxes paid was $94,000. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 40% of pretax income, although most of this expense will continue to be noncash given our NOL offsets. We currently estimate our cash tax outlay to be approximately $1 million for the year. Earnings per share for the quarter were $0.10 per share compared to $0.06 per share in the second quarter of last year. Free cash flow, as defined in our earnings release, increased 63% to $16.7 million or $0.19 per share for the quarter compared to $10.2 million or $0.12 per share for the same quarter of last year. Cash interest expense for the quarter was $3.3 million compared to $7.3 million in the same quarter of last year due to the successful refinancing of our debt during the third quarter of 2013. Cash capital expenditures for the quarter was $2.1 million. Capital expenditures for the year is estimated to be approximately $10 million. Turning to our balance sheet. As of June 30, 2014, our total debt was $362.2 million, and our trailing 12-month consolidated adjusted EBITDA was $76.8 million. Cash on the books was $39.8 million at June 30, 2014. Net of $20 million of unrestricted cash on the books, our total leverage, as defined in our 2013 credit agreement, was 4.5x at June 30, 2014. This concludes our formal remarks. Walter and I would now be happy to take your questions. Gary, I'll turn it over to you.
Operator: [Operator Instructions] And our first question comes from Michael Kupinski with Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: So the numbers came in a little lighter than expected, given the World Cup being in that quarter. The World Cup numbers that you gave in terms of the $7.2 million that you booked in the quarter was pretty much in line with the guidance that you gave earlier with the last quarter. I was wondering if you might be able to update us on, since the World Cup is over, what you were able to book for the World Cup this year?
Walter F. Ulloa: Well, Mike, I think the best answer I can give you is that -- is the information we gave you today because that's actual information. And by that, I mean, that third quarter we're still in it, and we had about 25% of our revenue -- World Cup revenue fall in July. So we're still -- we haven't rolled up those numbers yet. We've got a rough estimate of what they are -- not a rough estimate, a pretty good estimate, but we don't want to publish them until we're absolutely -- until the quarter is over, and we know exactly where we fell.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: So I was just wondering in terms of the World Cup, were you happy with the numbers? I mean, if the -- obviously, July being a little bit -- you still have got quite a bit to book yet in July. Were you happy with the numbers?
Walter F. Ulloa: We were I would say extremely happy with the numbers, not only revenue, but also our ratings performance. I will add though that our core TV advertising revenue and radio, but more TV, was heavily impacted by advertisers focusing their spending on World Cup and reducing their spending in other quarters, meaning the second quarter and -- and we haven't -- like I said, we haven't seen third quarter yet, but we know that advertisers moved money from third into second for the World Cup.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. So they shifted their budgets a little bit?
Walter F. Ulloa: Exactly.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: So -- yes. So in terms of the -- like did you notice that there were any particular differences between large market stations versus smaller market stations, and we're talking specifically television?
Walter F. Ulloa: Well our large market station always -- they're always pulling the lion's share of this event-like programming, World Cup being the most significant event. But certainly, our large markets, and by that, I mean, San Diego, that's a very large market for us; Washington, D.C...
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Not specifically about World Cup. I'm sorry, Walter. Not specifically about World Cup, but just in general in terms of a little bit of the sluggishness. Obviously, we're looking for a little bit stronger revenue performance in television. Did you notice that your larger market stations performed better or worse than your smaller market stations?
Walter F. Ulloa: I think the best answer I can give on that -- with regard to that question, Mike, is that it was pretty even. I don't think there was any -- I know that our Florida station didn't do as well as we'd want them to. Las Vegas was a little soft in terms of our big market stations. But, overall, it was pretty even in terms of how the spend came in.
Christopher T. Young: And I'd say that national did well for us to the extent that they expense in the World Cup. But I think if you look at our core -- if you look at our advertising outside the World Cup games, national was choppy. And those folks that did spend on the World Cup, what they ended up doing is they took a lot of what they spent last year and they just piled it up into the World Cup tournament and did not spend in non-World Cup spot. And that was part of, I think, somewhat -- that was somewhat disappointing to see as the quarter turned out.
Walter F. Ulloa: The other thing I would point out too, Michael, is even though the World Cup is a -- it's a premier world sporting event we do get a lot less inventory in those 2 hours than we do in our general programming. We just do, so -- and that had an impact as well.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: So if the advertisers were[indiscernible] possibly in the third to the second, are you seeing a little softness in the third? Or are you seeing things kind of -- general market improve? What are the general trends, not specific pacings but just the general trends?
Walter F. Ulloa: Well I think the general trends -- I mean the third quarter is always -- it's always a challenging quarter because of the summer months and vacations and people out of the office, et cetera. But in our case, we believe that a lot of money was redirected at World Cup and, hence, is making our third quarter perhaps a little more challenging than in the past. But I would say -- but I do want to say, Michael, before we conclude here that we expect about 65% of our political advertising to hit in September, and that'll probably start in -- late in August. We haven't really seen it fall in yet, but we do know -- we have it identified. And so 90% of our political revenue will hit in the third and fourth quarter, basically September and October, with 60% of that being -- 65% being we -- will see in September.
Operator: The next question comes from Amy Yong with Macquarie.
Amy Yong - Macquarie Research: Two questions. First, can you talk a little bit about some of the competition you're seeing out in the TV space? And I guess, specifically, looks like Telemundo's ratings are actually improving a little bit. Are you seeing any budget shift to your competitors at all? And the second question is on Pulpo. Do we expect that still be incremental to EBITDA in '15? And what should we be expecting in terms of incremental OpEx cost as you build out your digital platform?
Walter F. Ulloa: As it relates to the first part of the question -- repeat that again, just the first part of it.
Christopher T. Young: Telemundo.
Walter F. Ulloa: Oh, Telemundo. We all know that Telemundo's ratings have improved. We've seen increased competition in our markets as a result of the Telemundo ratings improvement but -- and we've gone through these periods before in our history, as had Univision -- or as has Univision. And the point is that Univision programming is the most consistent, the most quality Spanish-language programming in the country. And even though maybe there's been a little bit of a slowdown in ratings, we expect to bounce back here in a major way. In fact we are already seeing that in -- with the recent Novela Block. So we'll continue to outperform our competitors in our markets.
Christopher T. Young: As far as the second question is concerned on Pulpo, we expect the Pulpo transaction to be accretive to Entravision on a cash flow multiple basis in 2015. If you're looking Q3 -- Q2 had, I think, about 1.5 weeks of Pulpo numbers in there, so there's nothing material in Q2 to speak of. For Q3 and Q4, when you're modeling out, I think the right benchmark to use -- it's about $3 million in operating expense per quarter for each of Q3 and Q4. We're right now looking into breaking up Pulpo and our Luminar assets separately, and we'll have an update waiting on the next earnings call on that front.
Operator: The next question comes from Tracy Young with Evercore.
Tracy B. Young - Evercore Partners Inc., Research Division: Just a follow-up question on the flat pacing that you're seeing. You did mention at the beginning of the call that auto was quite strong. I mean it's a little surprising that you're seen -- you're just seeing this flat pacing. So any guidance that you can provide and that would be extremely helpful. And then, again, just in terms of the digital, is that still flowing through radio at this point?
Walter F. Ulloa: It is. It's still deploying through radio. On the pacing front, really, auto continues to trend well for third quarter. That's not our problem category. We're seeing particular weakness in telecom. We're seeing weakness in retail. Travel and leisure is another group that we're seeing weakness. All for very specific large vendor issues that we're working the cycle through. But national, I don't think that has been the case across the industry. National has been very choppy. And you've got macroeconomic events that are out there that are serving as a distraction, and we're trying to drive ourselves through it.
Operator: [Operator Instructions] The next question comes from Larry Haverty with GAMCO.
Larry Haverty: Walter, could you perhaps detail your expectations on political and are any states looking especially good in that category?
Walter F. Ulloa: Sure, Larry. I mean, I think what we told the market since the beginning of the year is that we did about $7 million of political in 2010 and that we expect to grow that revenue by 20%. Now we -- big states for us and competitive states include Florida, Colorado, certainly, will be big in terms of revenue growth in political. California also has some potential. New Mexico. Texas, certainly, there with the governor race. We think 1 of the things that certainly continues to help us and we certainly are supportive of getting more Latinos to the polls and more -- and the Latino vote is having more success in terms of deciding the outcomes in some of these states with 5% or 6% -- representing 5% to 6% of the votes. So we certainly saw that in 2012 when we doubled our political revenue from $8 million to $16 million. Now we don't expect to do that this year because it's a midterm, but we do expect increases, as I've described them, and we continue to be positive about the Latino voter turnout.
Operator: The next question comes from James Dix with Wedbush Securities.
James G. Dix - Wedbush Securities Inc., Research Division: I guess 2 things. You obviously had the World Cup in 2Q and in the beginning of 3Q, and that's 1 of your bigger marquee events, where there's always this question as to how incremental that revenue is. And I know in the past, we've talked about how difficult that can be, and sometimes you look back after an event and try to make an assessment to see who came in for an event and who didn't. But how do you think about that for big sports events, like the World Cup, versus political or even some new categories like Affordable Care Act? I guess, this probably won't be quite new. It'll be the second year on that. But are there any learnings that you'd share with us in terms of thinking about that, certainly, for the World Cup, but then political, which is, obviously, going to be a big thing in the second half of the year. And then, secondly, if Univision does some type of strategic transaction whether it's an IPO or a sale or anything else, do you see anything that Univision does there having much strategic implication for you?
Walter F. Ulloa: I'll take the second part of your question, James. I mean, it's hard to say whether anything Univision does will have a strategic -- some type of strategic value for us. I mean, I'll just add that we continue to have a close relationship with Univision. We're always talking to each other about how we can improve each other's asset base. Nothing specific to discuss certainly on this call or anything specific that we've outlined for ourselves. But that's a conversation we're always having with them about strategic assets going forward. Chris you want to answer?
Christopher T. Young: Yes, as far as the incremental is concerned, the political issue incremental is really a function of a lot of inventory getting sucked up by political advertising, and then you have to figure out who -- how many -- how much in advertising actually got displaced from folks who just didn't want to advertise during the political high season. That's a tricky model to go through, and we've attempted to throw out numbers on earnings calls with respect to incremental and political. There's always kind of -- it's always kind of fuzzy math. What happened in the World Cup though, I think, was more a function of the advertising environment that we're in. I think what a lot of -- everyone got the importance of World Cup as far as reaching our targeted audience. But what they decided to do was -- what we were hopeful they were going to do is hang onto or continue to spend the same amount of money, if not more, in non-World Cup advertising and then add to that a significant chunk to World Cup advertising. And what they ended up doing was pretty much the opposite. They ended up taking the bulk of what they spent last year as part of our core -- their core budget, and they ended up spending on the games. So TV incremental advertising for World Cup ended up being around 30%. For radio, it ended up being around 20%, and that was the key -- if there was 1 big disappointment in the quarter, that was it. And going back to the political issue, for the English-language folks, on political high season you'll have 20% or 25% of your revenue being driven by political. We're not there yet. We're catching up, I guess, is the right way to put it. But we're not -- last -- in 2012, I think 9% of our total advertising was political. We're still a long way off from getting that incremental calculation up to what the English-language guys are showing. I don't know if that's helpful.
James G. Dix - Wedbush Securities Inc., Research Division: Yes. Just because -- that 9% was for the TV platform in particular.
Christopher T. Young: That's right.
James G. Dix - Wedbush Securities Inc., Research Division: Was that all then? Okay. That was just 9% of TV revenue in 2012 was [indiscernible]?
Christopher T. Young: Right, which is approximately half of what the English-language guys get in a political year.
Operator: As there are no further questions, this concludes our question-and-answer session. I'd like to turn the conference back over to Walter Ulloa for any closing remarks.
Walter F. Ulloa: Thank you, Gary; and thank you, everyone, for participating in our second quarter earnings call. And we look forward to speaking to all of you in November when we give our third quarter earnings results.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.